Operator: Good afternoon. My name is Myra, (ph) and I will be your conference operator today. At this time, I would like to welcome everyone to the Southern Company's Third Quarter 2021 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Mr. Scott Gammill, Investor Relations Director. Please go ahead, sir.
Scott Gammill: Good afternoon and welcome to Southern Company's third quarter 2021 Earnings Call. Joining me today are Tom Fanning, Chairman, President and Chief Executive Officer of Southern Company, and Dan Tucker Chief Financial Officer. Let me remind you that we'll be making forward-looking statements today in addition to providing historical information. Various important factors could cause actual results to differ materially from those indicated in the forward-looking statements, including those discussed in our Form 10-K Form 10-Q and subsequent filings. In addition, we will present non-GAAP financial information on this call. Reconciliations to the applicable GAAP measure, are included in the financial information we released this morning, as well as the slides for this conference call, which are both available on our Investor Relations website at investor. southerncompany.com. At this time, I'll turn the call over to Tom Fanning.
Tom Fanning: Thank you, Scott. Good afternoon and thank you for joining us today. As you can see from the materials released this morning, we reported strong adjusted results for the Third Quarter. The economies in our service territories continue to recover from the COVID-19 pandemic. And in particular, customer growth continues to exceed our expectations. Given results through September, we expect full-year adjusted earnings per share to be above the top end of our guidance range. Dan will share more on this in a moment. So let's begin with an update on Vogtle Units 3 and 4. 2 weeks ago, we updated our expected completion timeline for both units, extending the in-service dates by 3 months. For Unit 3, following the completion of hot functional testing, we completed walk down of the 158 safety-related rooms within the nuclear island to assess the extent of remediation work required, consistent with the electrical installation quality issues we highlighted earlier this year, The number of instances of items needing remediation found during our full assessment process, however, exceeded our estimate from July. The change in the Unit 3 schedule into the third quarter of 2022 is primarily a function of the time needed to address the full scope of the remaining remediation work and to account for the impacts on productivity resulting from higher than expected attrition and slower than expected on-boarding of new electricians, field engineers, and supervisors. For Unit 4, recent progress has slowed. that's craft labor, and support resources have been temporarily shifted to support Unit 3's concert -- completion efforts. Considering this decrease in available resources over the next several months, plus recent productivity trends, we now expect Unit 4 in-service during the second quarter of 2023. Importantly, with the corrective actions beside is implemented after discovery of the Unit 3 quality issues, including reinforcement of the importance of first time quality with craft personnel, and improvements to the application of Bechtel's quality program. we believe that as we turn systems over on Unit 4, the amount of remediation work required will be less than what we experienced on Unit 3. During the third quarter, consistent with the surrounding areas, the site experienced a spike in COVID-19 cases that approached the peak of cases we experienced early in 2021. While the availability of vaccines and well-established protocols helped preclude the same degree of disruption experienced during the first wave of COVID-19, the pandemic was certainly a contributing factor to overall productivity and resource availability. For Unit 3, repairs to the spent fuel pool, system turnovers and ITAAC submittals continued throughout the third quarter. Repairs to the spent fuel pool are now complete. And the next major milestone for Unit 3 will be the receipt of the 103 G letter from the NRC. To-date, 242 ITAAC have been submitted to the NRC with 156 remaining. On Slide 7 of today's earnings call deck, we have included a forecast of the remaining ITAAC submittals required to support a projected May 2022 fuel load and third quarter 2022 projected in service date. Now, considering our recent volume of ITAAC of metals in October, and the expected completion and turnover of significant systems in the months ahead, the site is targeting ITAAC completion earlier than what is indicated in this forecast, which would provide margin to Unit 3's remaining schedule. We expect to use the time between ITAAC completion and fuel load to finalize the non-safety-related elements of the plant, and to complete any remaining pre -fuel load testing. Turning now to Unit 4, direct construction is now approximately 89% complete. A revised projected in service date of the second quarter 2023, reflects the temporary shift of services to Unit 3. Recent productivity trends on bulk electrical work and ongoing efforts to add craft labor and non-manual field support resources in support of first-time quality and productivity. Construction completion for Unit 4 has averaged 1.4% per month since the start of the year. To achieve a second quarter 2023 in service date, we estimate that Unit 4 we'd need to average approximately 1%, construction completion per month through the end of 2022. From a cost perspective, Georgia Power share of the total project capital cost forecast, increased by $264 million, largely driven by our updated schedule, productivity consistent with recent trends, the cost of additional resources to complete the full score for remaining work with necessary focus on quality and the replenishment of contingency. As a result, Georgia Power recorded an after-tax charge of $197 million during the third quarter. We remain committed to the credit quality of Georgia Power and Southern Company, And we will continue to seek, to maintain strong credit metrics for both entities. Our priority is bringing Vogtle Units 3 and 4 safely online to provide Georgia with a reliable, carbon-free energy resource for the next 60 to 80 years. We're committed to taking the time to get it right. And we will not sacrifice safety or quality to meet schedule. At Unit 3, we are working to submit remaining ITAAC to support receipt of the 103 G letter prior to fuel load and commercial operations in 2022. For Unit 4, we remain focused on attracting and retaining necessary craft, labor, and support resources, as well as first-time quality as we work to increase productivity and progress towards the start of open vessel testing, which is now projected by the second quarter of 2022. Dan, I will turn the call over now to you for an update on the financial.
Drew Evans: Thanks, Tom. And good afternoon, everyone. As you can see from the materials, we released this morning, all of our major subsidiaries had a solid quarter and our adjusted consolidated earnings are trending extremely well through the third quarter. For the third quarter of 2021, we reported earnings per share of a $1.23 on an adjusted basis, $0.01 higher than both our estimate for the quarter and our adjusted third quarter of 2020 earnings per share. For the 9 months ended September 30th, 2021, we reported adjusted earnings per share of $3.05 compared with adjusted earnings-per-share of $2.78 for the same period in 2020. A detailed reconciliation of our reported and adjusted results is included in this morning's release and earnings package. Major drivers for our adjusted earnings results for the third quarter of 2021 included higher retail kilowatt hour sales at our state regulated utilities, as we continue to see recovery from the pandemic, strong customer growth and impacts of several constructive regulatory outcomes, partially offsetting these impacts, non-fuel O&M reflects the trend towards more normal operating conditions relative to 2020 milder than normal summer temperatures in the Southeast also negatively impacted earnings per share by $0.02 compared to our estimate and by $0.07 compared to the third quarter of 2020. Turning now to customer growth through September, we have added over 40,000 new residential electric customers and over 20,000 residential natural gas customers across our regulated utilities. This level of customer growth has exceeded our forecast year-to-date and puts us on track to surpass last year's customer growth levels, which were also above historical norms. Customer growth continues to be driven by a strong labor market recovery, which is on track to reach pre -pandemic levels of employment in our Southeast service territory next year. For the third quarter, weather-adjusted retail electric sales were up 3% compared to last year and were in line with our expectations. Residential sales remained higher than expected due to extended remote work practices and commercial sales showed continued improvement coming in slightly better than our forecast. Industrial electricity usage lagged other customer groups, primarily driven by production cuts from a single large customer in the chemical segment [Indiscernible] this customer specific event, industrial sales have been in line with our forecast for the quarter. We continue to analyze retail sales and an aggregate through the third quarter our retail sales have essentially recovered to 2019 pre -pandemic levels. We are encouraged by these positive signals while we also continue to monitor the potential impact of COVID-19 variant, supply chain constraints, and labor force participation. The economic development pipeline in Southeast remains robust. Job announcements and business investment in Georgia in the third quarter 2021 were higher than pre -pandemic levels for 2019 and the average of 5 years ending 2020. In Georgia alone, there are currently over 200 active projects with the potential to bring in nearly 40,000 jobs and $13 billion in capital investment in the coming years. Next, I'd like to provide you with an update on our outlook for the remainder of 2021 with adjusted earnings per share through September of $3.05, we expect to achieve adjusted full-year earnings above the top end of our guidance range of $3.35 per share. Our estimate for the fourth quarter is $0.35 per share, which implies an estimated full-year results of $3.40 on an adjusted basis. Before turning the call back over to Tom, I'd like to follow-up briefly on Tom's update on BOPIS 3 and 4. First, I want to reiterate our commitment to credit quality, which has been constant. In our last call, we reinforced that commitment by announcing we would turn on our dividend reinvestment plans in the near future. As we have done so well over the last several years, we also continue to evaluate opportunities for asset sales. Within a portfolio the size of Southern Company, we have several investments which warrant continuous review for whether or not a better owner exists. Whether such potential transactions serve to offset our near-term equity needs or ultimately fund our long-term capital investment plans, we will remain disciplined to the benefit of equity holders and bond holders alike, as we execute our financing plans. And finally, let me briefly highlight the Vogtle Units 3 rate adjustments, stipulation that was unanimously approved by the Georgia Public Service Commission on Tuesday. consistent with the framework the PSC established with our order for the 17th VCM Process. This most recent order allows $2.1 billion of investment in Vogtle Unit 3 and the Vogtle Units, 3 and 4 common facilities to be moved from the Nuclear Construction Cost Recovery tariff or NCCR, into retail rate base the month after Unit 3 goes into service, where it will learn Georgia Power 's full allowed rate of return. Additionally, Georgia Power will be allowed to recover the related operating expenses and depreciation on this portion of Unit 3, which is an important credit supportive aspect of the stipulation. The entire process which struck an appropriate balance for all stakeholders, was a great affirmation of the constructive Georgia regulatory environment. Tom, I'll now turn the call back over to you.
Tom Fanning: Thanks Dan. Let me wrap up with an update on the Southeastern Energy Exchange Market or SEEM and our fleet transition Subject to resolution of any rehearing request, SEEM is moving forward after clearing the approval process. SEEM is region-wide automated into our platform, consisting of nearly 20 entities across 11 states, with the goal of more efficient bilateral trading in the Southeast. It is not an energy imbalance market or an RTO Benefiting from robust integrated planning by the individual states, municipalities, and utilities, the region represented by SEEM members scores very favorably on all important metrics compared to the RTOs across the country. SEEM will improve electric service to customers in the Southeast, a reason that is already an industry leader for customer satisfaction and reliability. The members of SEEM electricity market also provide low retail prices for residential and business customers using a mix of carbon-free energy resources similar to the rest of the country. We believe SEEM is good for our customers, and we're excited to be a part of this new platform, which is expected to launch in mid 2022. Turning now to our fleet transition. In our most recent climate report named Implementation and Action Towards Net 0, we reaffirmed our long-term goal of achieving net 0 greenhouse gas emissions by 2050. As an important step in the transition of our fleet, earlier this month Alabama Power and Georgia Power filed plans with their respective state environmental authorities detailing how each would comply with the U.S. Environmental Protection Agency's Effluent Limitation Guidelines. With these expected changes and the recent retirement announcement of two coal units at Mississippi Power's plant, Daniel, since 2007, Southern Company will have announced total decreases in its coal-generating capacity from more than 20,000 megawatts, across nearly 70 generating unit to less than 4,500 megawatts of coal capacity, remaining at 8 generating units. This equates to a reduction of nearly 80%. The final resolution for many of the actions outlined in the [Indiscernible] compliance filings, including the exact timing of retirements and any other actions we may recommend remains subject to the approval of our state public service commissions through the integrated resource planning processes or IRP. These proceedings are intended to comprehensively address transmission and generation resource needs over the long term, which could include additional decisions regarding the future of the remaining coal unit. As always, part of our planning process for transitioning these units will include placing a high priority on protecting the interest of our employees and the communities we are privileged to serve. The transition of our generating fleet and the important regulatory proceedings that will play out over the next 9 months, will significantly inform our capital investment opportunities. As we always do, we will update our capital investment plans during our fourth quarter earnings call early next year, which will include known fleet transition opportunities. It is likely that further transparency on our long-term capital plan will unfold through out 2022 and we will update our forecasts as appropriately. Importantly, our current 2024 earnings-per-share base of $4 to $4.30 is based upon our current 5-year capital plan with potential incremental investments, providing the opportunity to strengthen our position, both within that 2024 range and within our 5 to 7% long-term growth range. Now, before we move to the Q&A portion which we always love here, this just came across the wires. Next week is Veterans Day and a publication that I'm sure you all know well, Military Times, came out with their Best for Vets ranking of employers. And we've typically been on the list that shows the top 15 companies across America and it include well-known companies like Bank of America, Booz Allen Hamilton, The Hilton Group, Johnson & Johnson and others. They just have named Southern Company the number 1 Company in America that's best for vets. That included evaluations of recruiting practices, retention, and support programs and a higher emphasis on employers who provide assistance and flexibility for individuals and the guard and reserves. We certainly respect the contribution that these folks make. They are a significant part of our employment base, I think amounting to over 11% of employee today. We respect their service and we want to make sure that they have the best work environment that they could have. We are honored beyond belief to be named the number 1 Company in America, Best for Vets, as named by the Military Times. Thank you for joining us this afternoon. Operator, we are now ready to take questions.
Operator: Thank you. [Operator Instructions]. You will hear a 3-tone prompt to acknowledge your request. [Operator Instructions] One moment, please for our first question. Our first question comes from Shar Pourreza with, Guggenheim. Please, go ahead.
Shar Pourreza: Hey guys.
Drew Evans: Hello Shar, thanks for joining.
Shar Pourreza: Excellent. Dan nice to hear your voice. But just a couple of quick questions here. Tom, a lot of investors are hoping to hear more about your [Indiscernible] capex opportunities at EEI next week, especially kind of with your Georgia and Alabama IRP next year. Can you remind us of some of the types and size of the incremental capex we could see when you roll the capex plans forward next February. Maybe offer some ballpark figures to help frame the opportunity set as you shut down coal, how you'll finance it, what the impact the rates could be, I mean I understand things will shift between now and then, but any comment would be great.
Tom Fanning: Yeah. Sure. I hate to disappoint you. We're not going to say very much next week. Suffice to say that beat plan and to approve by the public service commissions will have an impact on capex. We always provide that update in our call. I guess it will be the end of January or early February, about our fourth quarter results and total year results. So we will certainly do that then. I think as I said, to the extent there are impacts, the current capital forecast formulated our range in 2022, $4 to $4.30. To the extent there is an increase in capex, certainly that strengthens our place within that range and the longer term, 5% to 7% growth rate. The other thing that we should remember about rates is that as you retire coal, you free up a whole lot of O&M. We intend to use that O&M to basically, allow for cost recovery, account for the incremental revenue requirements associated with new generation that will replace that and keep rates as low as possible for our customers.
Drew Evans: And so just a reminder what Tom such as prepared remarks is the $4 -- $4 to $4.30 on 2024 is predicated on our current capex plan. And I think the way to think about these incremental opportunities as it will potentially increase or intensify, overcome. I mean, you said postpone growth. I think that is the point in time when we really begin to see tangible long-term increases to that profile from $8 billion a year to something more.
Tom Fanning: And one last point there, one of the benefits of our integrated resource planning processes, is we get to optimize portfolios, not only on generation, but also transmission. So transmission could be a benefit there. The other one you should keep in mind is we currently -- we said this in other calls. We currently allow for about 500 million a year of cap allocation to things like Southern Power. None of those allocations are included in our forecast. And it would stand to reason that as the U.S. transitions its generating fleet, there will be more opportunities for Southern Power in that regard.
Drew Evans: And just on the transmission Shar and the reason we're being a little hesitant to share too early, well, there's transmission opportunities associated with what we will retire. The other transmission opportunities come about with what we replaced that with and where, and that is simply a function of our integrated planning processes and we just need to let those play off.
Tom Fanning: But it's a good thing for us. Good thing for our customers we get to iterate around those choices. You don't get that opportunity in the organized markets.
Shar Pourreza: Got it. Thank you for that and I know lastly for me, I know there's a lot of focus on exactly which month in the three will be in service next year, but I'm a little bit more interested, on what happens once it's online. So once you get three comes online, how should we think about what that means for earnings and cash flows in light of the TSC proven that joint settlement with the staff this required I know there's a lot of moving parts with the NCCR AFDC. The penalty ROE, but just really at a high level, what are the immediate impacts to cash flows and earnings following Unit 3 reaching the service. Thanks guys.
Tom Fanning: Yes, absolutely. So let's just make the assumption for the sake of describing all this chart that the third quarter means September of 2022. So given the results at the Georgia Public Service Commission earlier this week, that will mean that rates will go into place for $2.1 billion of Unit 3 in the comm facilities, earning Georgia Power's full cost of capital. If you think about it, relative to what we're earning today, that's going to add about a third of a sense of EPS for every month, for October, November, and December relative to what you would have forecasted under current conditions it's about a third of a penny per month. The
Drew Evans: Important thing is that $2.1 billion is not the full cost of Unit 3 and the common facilities, what remains will remain earning a return under NCCR, or will be deferred for future recovery with the Commission. And at the same time, we will be recovering currently, the operating costs of Unit 3 and the depreciation, at least the associated with a $2.1 billion.
Shar Pourreza: Got it. That was super helpful. Thanks, guys. I appreciate the great execution.
Drew Evans: Thanks, Sir.
Tom Fanning: Thank you.
Operator: Thank you. And our next question comes from Julien Dumoulin-Smith with Bank of America. Please go ahead.
Tom Fanning: Hey Julien, how are you?
Julien Dumoulin-Smith: A quite well thanks, Tom. Pleasure, clinical team congrats Dan to o. Let's just dive right in on the asset sale for the year. You obviously made some pretty interesting comments some moment ago. Just wanted to clarify there is you think about regulated versus perhaps some of the other assets you own that Southern Power or otherwise, what exactly are you thinking about there and then more importantly, what equity need are you kind of thinking about here? Obviously, it's not -- it doesn't seem as least as explicitly stated to substantive here. But can you talk about how you're thinking about equity needs, especially considering some of the prospective capex you alluded to. I expect that feeds into this commentary on asset sales to.
Tom Fanning: Yes, sure. As always, Dan speak to the equity needs. I'll go back to the litany on M&A that I always do. I think we've demonstrated in the past whether we're buying or selling, that we always seek to put assets with the best owner. Our formulation for that is the old rubric, value is a function of risk and return. And so we have ideas right now, we really don't want to front run in the public what those ideas are, about assets where there may be better owners. We'll see whether they come to fruition or not. Certainly as they do, we will keep you updated, but we are looking over our list of things and we'll see. Dan, you want to speak to the equity needs?
Drew Evans: Yes absolutely. So Julien, essentially, what we're addressing is only the impact of the recent Vogtle cost increases. So to the extent that that has an impact on our credit profile, we're committed to mitigating that. Whether that's turning our drip on or finding opportunities with these asset sales. Beyond that, we still see a long-term plan, even in light of the incremental capex opportunities that we're alluding to where we don't need incremental equity. I think it's important to point towards a post Vogtle kind of forecast period. And our credit metrics out there are about 200 basis points for FFO to debt higher than they are today. And that's a position of strength for us and gives us a lot of flexibility as to how we finance our group. And I just want to clarify, just back on source question that I said 1/3 of a cent per month. It's 2/3 of a cent per month, I just want make sure that's clear.
Julien Dumoulin-Smith: 2/3 a cent.
Drew Evans: Yeah.
Julien Dumoulin-Smith: Got it.
Tom Fanning: Okay. Yeah. And to be very clear to o, I'm trying to be less elliptical on what we're looking at. But you should assume, as we have moved here to be, what is it, 95% of our earnings are integrated regulated kind of earnings that it would contribute to that profile. In other words, we're not going to buy ourselves things which make ourselves more risky. I think we love the idea of reasonable turn and low risk. And also as you have seen in the past years or since I've been here. As we have bought say for example, AGL Resources now Southern Company Gas, there had been things around the edges that have allowed us to simplify and de -risk our business. So think about those things and we'll see how it goes.
Julien Dumoulin-Smith: Excellent. And then just coming back to Unit floor, obviously, you made some comments a moment ago about some of the labor availability, etc. and remediation work. I mean, how do you get comfortable with the nine month time gap between those two units in service date. But I'm just calling out that staffing stated at to various points about sort of the concerns that they have, on the second unit and service.
Tom Fanning: Yeah. Julian. Yes. Thanks for that. It's an important point to raise as has the ties at both ebbs and flows here. Let me explain that a little bit. We believe that Bechtel has had the responsibility to attract skilled personnel, skilled craftwork, especially electrician engineers, to assess the work that's being done and field site personnel, supervisory personnel to oversee the work that's going on. We have not kept pace with the requirements to advance these units in terms of attracting the people, and you named the reason why we've had more attrition. I think certainly the amount of attrition is potentially associated with the COVID response and everything else. So we've had to do a couple of different things. We have said in the past that we were moving to de -link the progress at Unit 4 from Unit 3. And so therefore, this 12-month margin didn't matter. One of the way that we serve to continue to advance Unit 3, was again to borrow personnel from Unit 4. So we didn't really want to do that, but it was a necessary move to continue to advance the work at Unit 3. Now, as we finish that work, we will send those people back to Unit four. And once again, they will be de -linked. But for the period of time in which we have borrowed personnel from 4 to 3, a delay in 3 means a delay in 4. And so that has happened. The other thing that we have done is to augment back fills, sourcing efforts with our own efforts. We've had a very deep engineering and construction services group in Birmingham, our own resources that we could attract personnel and so we have significantly augmented Bechtel's efforts to increase the flow of people necessary to promote skilled labor, electricians and field supervisory personnel. All of those things are in progress. All of those things are consistent with the new schedules we've given you. And I will say one more thing. There was a lot of conversation about this. I can tell you, Chris Womack and I in particular, we're really watching the trends. If I just looked at current data, we still have margin 6 weeks or so to Unit 3, 3 months or so to Unit 4 on the existing not extended schedules. We looked at the trends, however, and the trends to me we're troubling. And so we all kind of step back and said, I would rather take the conservative posture of evaluating these trends and adding more time, because frankly we didn't believe that we had 6 months of scheduled margin left on 3, and 3 months of scheduled margin left on 4. And we could've quibble on adding a month or 2 months. We said, let's go ahead and add a quarter for both. And that's where we came out on this decision.
Julien Dumoulin-Smith: Got it. So it's not so much the 9 months necessarily. It's that you're adding a quarter of both of those latitude with in both schedule. If I'm hearing you right.
Tom Fanning: Yeah. And this idea of there's got to be 12 months, they're in fact -- the only time they are linked is when we borrowed from 4 to 3. Therefore, a delay in 3 causes a delay in 4. Once we get 3 back into its place, then we are able to send the people back to 4 and again, they are de -linked. The 9 month difference between the 2 does not trouble us.
Julien Dumoulin-Smith: Got it. Okay. I'll leave it there. Thank you guys. Best of luck. Hear from me soon me.
Tom Fanning: Thanks. Appreciate you calling in.
Operator: Thank you. Our next question comes from Steve Fleishman with Wolfe Research. Please go ahead.
Steve Fleishman: Great. Good afternoon, Tom. Likewise. Dan, nice to have you CFO. So just first on the maybe Tom just on the Vogtle schedule. I know you don't want to speak for staff the commission, but just with this latest update in the way that you're giving schedules now, is there a better chance that, they'll match up closer to what you are saying when they come out in a few weeks on this or should we be prepared for something that's again different than what you're saying.
Tom Fanning: Yes. Steve, you kind of gave me the answer before I answered and that is I don't want to speak for staff. Dr. Jacob is a guy that I know well. He attends the same meetings we attend, he sees the same stuff we see. He's a really bright guy. I think if I had to highlight something that will come under some discussion and I think it's absolutely correct, you want to look at schedule variability at this point. We believe we see a pretty clear track to receiving the 103 G letter, which allows us to load nuclear fuel, allows us to go hot on the site. There is a certain amount of work that will occur between the receipt of the letter and the actual loading of nuclear fuel. In my opinion, that work that is from 103G receipt to loading the fuel is probably the remaining biggest risk to schedule that remains on Unit 3. Recall in the script, we talked about finding more remediation. And I know in some other media, we've talked about these items. None of them being deal killers and all and stuff, but there's no such thing as a little issue in nuclear. Everything we take seriously. Everything must be done effectively with perfection. And so it is that time that we're looking at right now that I would say to you is probably the shared view of Dr. Jacobs in particular and us, as the biggest risk to schedule that remain, right now, our assessment of that work, if we get the 103 g letter early let's say January, then I'm going to guess, and this is just a guess on my part, so don't hold me to it. But I'm going to guess there maybe six weeks of work left from receipt of the letter to the actual loading of the fuel. If the 103 G letter is delayed, then that 6 weeks reduces because this is work that can be done in parallel with, some of the other stuff that's required to get 103 G. Remember we've talked about 3 buckets of work that we identified post HFT. One bucket deals with the issues we identified during a hot functional test. The second deals with remediation that frankly has increased since we passed the 103 G letter and really was subsequent to the July call we had with you guys. The last bucket really dealt with human performance systems, HVAC, signage a variety of other things. That work margin is bigger, let me just say it again. If we get received a 103 G early let's say at January I mean who knows. It could be as much as 6 weeks. If we get 103 G later, that work time will shrink to 2 weeks or something. We'll see. See that's where I think you will see a lot of discussion between us and the commission.
Drew Evans: Let me just add real quickly to Tom's comments. The nature of the risk for that work Coast 103G up to fuel load is really logistics. So once we receive 103G, the site becomes an operating nuclear site. So the logistics of getting people to ingress and egress a personnel to do the remaining work is just friction on productivity and that's really the nature of that risk.
Tom Fanning: That was helpful.
Steve Fleishman: Clear that was very helpful. And Dan going back to the question before about trying to kind of size the potential equity needs or asset sale, target need. You said just look at the what's the cost increases have been is that it's a simple as that or are you targeting any different metrics as well? And then you had prior to that?
Drew Evans: Yes. Look, Steve, if you want to make an assumption in your model that our opportunity to do that is the size of the after-tax write-offs, that's a reasonable assumption. That said, we're looking across multiple opportunities. We will see what that looks like. More importantly, from a long-term perspective, that uplift in the credit metrics that we talked about is really what is key. We always take a long-term view on this stuff and I'm very comfortable with how we're positioned long term and there's not a need for anything or significant than those near-term charges that we've taken to earn.
Steve Fleishman: Okay. And you haven't --
Tom Fanning: Go ahead, Steve. Go ahead.
Steve Fleishman: No, I'm just -- you haven't given a number on what the DRIP equity that you said you turn the DRIP on. Did you --
Drew Evans: We have. Yes, we have. So we've not turned it on, we're holding that as an option to see what, if anything, becomes of any asset sale opportunities and we'll do one or the other. The DRIP on an annual basis equals about $400 million worth of equity.
Tom Fanning: And you're in a prior call you kind of said was we thought the drip and one year without the last issue. This is another roughly $200 million. So let's see what the review of our asset sales are, and we'll figure out where we go on the issuance of new shares under the drip. Please assure if we can find a better solution than issuing shares under the drip will do it.
Steve Fleishman: Right. And I guess to degree that there might be some, incremental growth opportunities in the Capital plan as you go through IRP transition, etc., asset sales could help fund that part too.
Tom Fanning: Yes. I think good and as Dan indicated from -- if you look at the capex forecast, most likely the capex opportunity associated with the transition of the fleet will occur in the back part of that capex forecast.
Steve Fleishman: Okay. Where our credit metrics will be [Indiscernible] Okay. Thank you.
Tom Fanning: Thank you, Steve.
Operator: Thank you. Our next question comes from Jeremy Tonet with JPMorgan. Please go ahead.
Tom Fanning: Hey Jeremy, how are you?
Jeremy Tonet: Good, Thanks for having me. Just wanted to come back to Vogtle. If I could here. Just wanted to see if you could provide some incremental color on labor market impacts here and just as I'm thinking, how much just costs go up per month delayed at this point, just this prior increased seems a bit larger then I would've thought.
Drew Evans: Jeremy the way to think about it, this is really been what has occurred both in the Second quarter and this most recent announcement here in the third quarter, the cost increases has really been a function of two things. One is the schedule itself, and that's kind of that notion of hotel load that we talked about. And for Unit 3, that is $35 million a month I believe and for Unit 4, $25 million a month and $15 million a month for Unit 4. So for every month reaching if that's just the infrastructure that supports construction in the cost of that. With this most recent increase and again, much like the second quarter increase, it also came with new assumptions on the number of personnel necessary to complete the work, and so that's where that incremental cost is coming from both increases really represented about, half pure schedule or hotel costs. And then the other half, personnel and productivity assumptions to complete the work.
Tom Fanning: Yes. And I would be remiss if we didn't had the idea that in sourcing all of these personnel in the skilled labor. Sean McGarvey and his team at the building trades has been fabulous. The IBEW in particular has been great, they've given us tremendous ongoing support. And I think our relationship with them is really bearing fruit here as we augment that builds efforts.
Jeremy Tonet: Got it, that's helpful. Thank you for that. And maybe just shifting towards the DC for a minute here if I could. Obviously, things are fluid here, but just want to see as things stand right now, what are your biggest takeaways from the federal infrastructure legislation? And when thinking about minimum taxes, well, I guess how do you think some of the gives and takes as it relates to Southern?
Tom Fanning: Jeremy calling the situation in Washington, fluid is a bit like calling the Grand Canyon a crack. I will say this, that there's lots of good stuff in the infrastructure bill and in the reconciliation bill that help us. They are shaped mostly as incentives. And we think that incentives are the way to go. We're particularly interested in anything that as we go through this transition of the fleet and transmission to a net 0 future that we keep prices as low as possible, To help our energy resource in a worldwide competitive market to keep it -- to keep America in a very strong position to compete for new loads and manufacturing and a variety of other things, it is important for the nation. It is important for our customers to keep prices low and to provide incentives to do that, that's kind of thing 1. Thing 2, Dan can correct me here or whatever, but we've looked at this minimum tax proposal. And we think it doesn't have that much of an impact to us maybe it bounces around from a year-to-year as you would expect, but it kind of averages 1%.
Drew Evans: That's right, Tom.
Tom Fanning: So don't have much of an impact us. I'm sure it would for others that rely on tax benefits to drive their earnings.
Jeremy Tonet: Got it. That's helpful. Thank you.
Operator: Thank you. Our next question comes from Michael Lapides with Goldman Sachs. Please go ahead.
Michael Lapides: Hey guys. I just wanna say, A. Thank you for taking the question. B. Dan congratulations. Another kind of being talented person in the CFO seat and your large Company have always with lots going on and kudos well-deserved. Next year in Georgia, and I'm just trying to think about the regulatory calendar in the series of events and more, how they intertwine or if they intertwine. So you'll go through the IRP process. I forget if the IRP actually gets formal approval or not. But you've also -- I think still have a rate case. And then will you also file to get Unit 4 in service if it looks like similar to how you did with Unit 3 to go ahead and set what the revenue requirement would be.
Tom Fanning: So Michael, there is a laundry list of things going on next year. We're certainly taking all of that into account. If you look at history. The Georgia Power Company with its relationship with the PSC itself, and what the work load at the staff, I think we've always managed to find our way to get big things done. And we just look forward to that constructive relationship going forward, I think the recent settlement agreement we reached on the stuff we just mentioned in the script was evidenced of that continued good working relationships. There is a lot going on next year with VCM, with IRP, with Vogtle 3, with potential prudency earnings beginning on the fuel load of 4 with a rate case filing. So there's a lot to work through. Just to understand that as we have in the past, we'll work with the folks involved to do it in the right way.
Michael Lapides: Got it. My other question and I saw a little news splash. For the past week or so about you're buying a plant from AI infrastructure private equity owner to serve. I think it was for Alabama Power. Just curious, when you look around do you see significant opportunities for kind of plant M&A to bring them into rate base versus going through the construction process?
Tom Fanning: Yes, we do. And we keep those things, just as we're talking about buying and selling and we want to kind of keep our kimono closed at this point, as we see those opportunities we'll certainly work on them. That's just another evidence of something. The other kind of good thing about buying used assets that way. As you think about transitioning the fleet, I think I've said this in the past, to get to 0 for us we're going to have a profile in the 2040 to 2050 that will look something like 50% renewables, maybe 20% nuclear, maybe 25% natural gas. A lot of that natural gas will have CCS on it. The tail end of that, the 5% remaining could be something different. It could be hydrogen, it could be a variety of other thing. Hydrogen doesn't appear to be all that viable until maybe in the 30s. You do know that the Plant Alabama is building has the capability to blend hydrogen into its fuel mix. So you may see hydrogen occur in an indirect sort of way prior to the 40s and 50. But anyway, my sense is that you're going to have a lot of opportunity to buy some natural gas. The good thing about buying used units is, they may have a remaining life of 10 to 15 years, that fits in with retirement schedules that are consistent with adding more renewables. So those assets look like bridging assets. and very attractive economically and important to our strategy of replacing it with renewables.
Michael Lapides: Got it. Thank you, Tom much appreciated.
Tom Fanning: You bet. Always good talking with you.
Operator: Thank you. Our next question comes from Paul Fremont with Mizuho, please go ahead.
Tom Fanning: Pleasure to have you with us.
Paul Flemont: Thank you so much. You've talked a little bit about that you still have construction work remaining on the plant. Can you give us a time-frame that it's going to take for you to complete the construction and if you want to sort of separate out the third bucket that you think you can do, after you get the letter. You can do it either with or without that bucket.
Tom Fanning: Paul, maybe I'm not following your question. Could you, try that again?
Paul Flemont: In terms of days or months, how much -- how much physical construction work do you have yet, remaining on Unit 3?
Tom Fanning: Okay. So in general, what I indicated was here we are in nearly the middle of November. Okay. So in order to hit January, 103G. So that's 2 months round numbers. Okay. And then I would say if we had 103G in hand in January. My best guess right now is there maybe another 6 weeks of construction. So let's just think about that, 2 months plus 6 weeks is 3.5 months. Okay. That's a broad estimate.
Paul Flemont: Okay. But obviously --
Tom Fanning: Hey, excuse me, Paul. And we certainly have allowed more time than that in the revised schedule. Remember, we added 3 months to all of that.
Paul Flemont: Okay. Right.
Tom Fanning: That's my answer to your question.
Paul Flemont: Okay. So you believe you have 6 weeks of physical work still to go? And then --
Tom Fanning: Well, wait. Hold on. Hold on. Hold on, Paul. It's -- what I would say is 6 weeks of physical work to get to 103G. It may be that it takes 8 weeks. I mean, who knows? But that's just a reasonable guess. So middle of November, wait a minute, I said 2 months. Middle of November to middle of January as 2 months. And then you would say add-on some more time to get to fuel load, right? That was a response to, I think it was Fleishman. So between 103G and fuel load, there is more work to be done. And I estimated that at its maximum, say 6 weeks. And at it's minimum, that's assuming we have a delay on 103G of 2 weeks, something like that. So to say, what I say, 3 or 4 months. Am I am I answering your question there?
Drew Evans: Paul, let me --
Paul Flemont: 2 months plus another either 6 weeks or 3 weeks, depending on where you are.
Tom Fanning: if it were less than 6 weeks, but Paul, remember, as I said, was if it was less than 6 weeks, that presumes that there is a delay in getting 103G. The total amount of time is, let's just say 3 to 4 months
Drew Evans: And Paul just stated a different way with our September assumption for in-service of third quarter. of 2022, then work could continue through April with a 103G receipt fuel load in May, and then in-servicing system.
Paul Flemont: And then can you tell us where you are relative to turnover and testing? I think there were 159 systems for each of the plants that need to go through turnover and testing. I think the last update, you were roughly at 120 on Unit 3. But is there any update on where you are now on Unit 3 and Unit 4?
Tom Fanning: So let's think about it. We have now completed -- so there was 158 walk-through to go through. We've completed them all now. Let's start there. We think there's about, let's see, 100,000 hours or so direct construction. We have in terms of systems, I forget how many we started with, but around 17 left to go. In between the July call and now, we turned over 11. And so it's interesting to look at is the symmetry of that even though I think we're probably closer. If in 3 months we turned over 11, 17 to go I just said 3 to 4 months, that's a little inaccurate because all the systems are being worked on and we're getting closer to complete all the systems. So there's probably a little bit less than that. In order to get to 103G. We need the completion of eight system turnovers. We have 7 to get to fuel load. So that's the delta between 103G and fuel load. And I said, that can expand and contract, how we think about that. Those seven are being Don and parallel, with the 8 required to get 100 3G. So those are not sequential, they are parallel. And then even after a fuel load, there are some things that will continue to be worked on. I think there's like two systems that you can do even after fuel load. So let me just say that again. Of the 17 systems that remain to turnover, 8 are required to get 103G, 7 are required to get to fuel load, 2 can be continued to be worked on even after fuel load.
Paul Flemont: So I'm gathering from what you're saying. In the past, I think you've needed to get all of your I-tax approved by the NRC before you get the 103G letter. I'm gathering here, are you guys asking for the NRC to give you different treatment where you would get the 103G letter before all of --
Tom Fanning: No. This is all consistent with everything we've ever done with the NRC and 103 G, everything is consistent.
Paul Flemont: In other words, all the ITAAC s would need to be approved, but I would assume that not all, but you would still have systems that would be untested. So those are systems that don't require ITAAC approvals, I take it.
Tom Fanning: Yes. In order to get permission to load fuel, so the systems after permission to load fuel are not necessarily safety-related items. They could be somebody's signage issues or something like that. Anything that is required to get 103G is encapsulated in the eight systems I mentioned. Before, we load fuel, we still want to do 7, 2 of those -- not 2 of those in additional 2 can be done even after we load fuel. They're just not safety-related construction items.
Paul Flemont: And then my last question, I'm sorry.
Drew Evans: Just want to clarify, Paul. In our materials when it does relate to I-tax, we provided a schedule of an i-tech completion cadence that would support in April 103G, May fuel load, September end service. What you'll note is that there's nothing showing in November because nowhere to support that schedule, we don't need any November Our expectation is they're absolutely will be some in November. In fact, I believe we've already submitted 2 since the month has begun, so everyone in November that gets completed reduces the number that need to be completed between December and April to support of 103G.
Tom Fanning: I'm sure you guys know Aaron Abramovitz. He was Chief Financial Officer of the project. He was actually located on-site. Now he's the CFO with Georgia Tower. In order to give you the schedule that you saw in your package, effectively what he did, he started with September in service date. We believe we have margin to that. But he started with September in-service. And then he reverse engineered back in a conservative way to say, well this would be the ITAAC completion schedule consistent with September. We believe we have margin to that. As we get ITAAC s filed in November, I'll go ahead and say we expect to get about 20. Well this one the schedule we gave you indicates nothing in November and not much work in December. When we think we'll have that exceeded by a pretty good margin. And so we'll be ahead of the schedule. Well, that just suggests our belief that in fact there is margin to the schedule we're giving you now. And the other thing Greg was important in that, the reason why we went to all this trouble was we thought you guys would want to have a way to measure our progress. And hitting 103G and ultimately fuel load and we thought this was kind of a good way to measure our progress. So look and see how many I've tax we file in November and December and compared to the schedule and I think you'll see that. I think we'll beat the schedule pretty handily at least early on for sure.
Paul Flemont: And then last question, where are you currently in the cost sharing, Dan, as it relates to you and your partners in the plant? Are you now at a point where you're picking up a 100% of the incremental project costs?
Drew Evans: We believe we have not entered that We certainly have some discussion among us and the other co-owners about that. I think we've disclosed that and I'd rather not go too far into that and I just appreciate your patience with us there. Just as we don't front run regulatory process as we have a long track record of not doing that, it's best for us to have the resolution of those differences of opinion done in private.
Tom Fanning: But just very matter of fact, with Paul as we disclosed our calculation to just we're not even into the first end for sure.
Paul Flemont: Great. That's it for me. Thank you so much
Tom Fanning: Paul your great. Thank you for joining us.
Operator: Thank you. The next question comes from Sophie Karp with KeyBanc. Please go ahead.
Tom Fanning: Hello Sophie, how are you?
Sophie Karp: I'm good. Thank you for taking my questions. How are you?
Tom Fanning: You bet.
Sophie Karp: All right. Just a little quick one. Do you expect to have any kind of incremental labor issues as a result of the OSHA rule regarding the COVID vaccination mandate sort of kicks in. Fair to assume, I think and just any thoughts, I appreciate it given your way before this vaccination rates.
Tom Fanning: Yes, Ma'am. You know, we always have the health and safety of our employees foremost in our minds. And I think if you look at the way we've handled the site through the epidemic, I think it's been amazing. The accomplishments that those folks have done even under restricted protocols. We were just on a call here as we just gotten more granularity, I guess from OSHA, about what their expectations are. It's 400 pages long. We're kind of diving through it. We know there are legal challenges to come. It's really too early for us to say right now what we think the impacts will be. I know even EEI has requested a 90-day delay. Look, there's a lot to digest right now. Let's keep our eyes on that. And just as a final thought, you folks know that I've been leading the ESCC, electricity sub-sector coordinating counsel. And I know the deals are cyber and physical threats. It also deals with the industry's response to major storms. We call those national response events. And so I've kind of helped organize the national response to a hurricane or a snow storm, or what have you. Clearly as you introduce new operating requirements into those gigantic magnitude events, we got to make sure that we serve the interest of customers, and not only get the wires up and the plants running, but restore hope to the communities we're privileged to serve. We don't want to let any of these new requirements interfere with our ability to serve the American economy during those times. So all of those conversations are going on right now. And Sophie, I wish I could give you more granular stuff, but it's all just very timely conversation we're working through. I'm very confident by our next earnings call we'll have more to stay there.
Sophie Karp: Got it. Thank you for the comments, I appreciate it. That's all for me.
Tom Fanning: You bet. Thank you.
Operator: Thank you. Our next question comes from Paul Patterson with Glenrock Associates. Please go ahead.
Tom Fanning: Hey, Paul. Great to have you with us. Paul? We would still be great to have you with us. I don't know where he is.
Operator: Mr. Patterson, your line is open. Please check your mute button or lift your handset. It appears we're unable to hear you. Please, you will register for your question. If you'd like to ask your question. And that will conclude today's question-and-answer session. Sir, are there any closing remarks?
Tom Fanning: Just to say thank you. I'm I get frustrated at times. I know you guys may get frustrated also, this kind of scheduled stuff. But I think what we're doing right now is conservative imprudent. It gives us more margin. We're working very hard. We're making progress. We'll get there. And I want to thank the people at the site for working so hard and making the progress they're making with respect to the challenges of personnel, quality that always remains foremost. And this phrase we used, get it right, is so important to us, we will always work to get it right. So thank you for your for your understanding and all of that. As we move through these issues, we've had good progress. The regulatory constructs that we had on the first 2.1 billion at all, I think was more evidence that I think we do have a constructive working relationship. And that post Vogel, the numbers are essentially irrefutable I mean, I think that cash flow, earnings trajectory, overall financial integrity of the Company, is truly outstanding and we think warrants anyone's interest as an investment. So thank you for your time and we look forward to talking with you next week at EEI. Dan, any closing comments?
Drew Evans: No, sir. See everyone at EEI.
Tom Fanning: All right. That's all, Operator. Thank you very much.
Operator: Ladies and gentlemen, this concludes the Southern Company third quarter 2021 earnings call. You may now disconnect.